Operator: Good morning ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to the Banco Macro’s Third Quarter 2014 Earnings Conference Call. We would like to inform you that 3Q2014 Press Release is available to download at the Investor Relations website of Banco Macro at www.ri-macro.com.ar. Also this event is being recorded and all participants will be in a listen-only mode during the Company's presentation. After the Company's remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] It is now my pleasure to introduce our speakers, joining us from Argentina are Mr. Jorge Pablo Brito, member of the Executive Committee; Mr. Guillermo Goldberg, Commercial Deputy General Manager; and Mr. Jorge Scarinci, Finance and IR Manager; and Ines Lanusse, IR Officer and other members of the Bank's management team. Now, I will turn the conference call over to Mrs. Ines Lanusse, IR Officer. Please begin.
Ines Lanusse: Good morning and welcome to Banco Macro’s third quarter 2014 conference call. Any comment we may make today may include forward-looking statements which are subject to various conditions and these are outlined in our 20-F which was filed to the SEC and is available at our website. Third quarter 2014 Press Release was distributed last Monday and it is also available at our website. Banco Macro is one of the leading private banks in Argentina with a strong presence in the interior of the country and a branch network of 431 branches. Even though we are a universal bank, we focus on low to middle income individuals and SMEs. Banco Macro is a financial agent of four provinces in Argentina, Salta, Jujuy, Misiones, and Tucuman. I will now briefly comment on the Bank’s third quarter 2014 financial results. Banco Macro’s net income for the quarter was 985.5 million pesos or 72% higher than the 571.9 million pesos one year ago. In the quarter, net financial income totaled 4.1 billion pesos or 37% higher than the 1.6 billion pesos registered one year ago. This performance can be traced to our 45% year-on-year increase 1.2 billion pesos in financial income and a 57% year-on-year increase by 192 million pesos increase in financial expenses. Within financial income, interest on loans rose 34% year-on-year due to an increase of 450 basis points in the average private lending interest rates and an increase in the average volume of the loan portfolio. In the third quarter 2014, interest on loans represented 76% of total financial income, compared to the 82% in third quarter 2013. On the other hand, net income from government and private securities increased 581 million pesos year-on-year due to a higher income from government securities especially LEBACs and NOBACs. Income from foreign currency decreased 64% year-on-year due to a lower asset position revaluation caused by a deceleration in the depreciation of the Argentine peso. Meanwhile, within financial expenses, interest on deposits grew 61% year-on-year, due to an increase of 460 basis points in the average time deposits interest rates and a higher average volume of these deposits. Excluding asset gains, the former combined effect resulted in an increase in the Bank’s net interest margin from 13.3% as of the third quarter 2013 to 15.7% as of the third quarter of 2014. Had we excluded bond days and warranty loans in the calculation, the Bank’s net interest margin would have been 14.3% above the third quarter 2014 from last year’s levels of 13.6%. The Bank’s net fee income grew 53% year-on-year, mainly driven by fee charges on deposit account and debit and credit card fees. Administrative expenses rose 36% year-on-year, mainly due to an increase in personnel expense, mainly higher salaries and other concepts and other operation expenses. The increase in personnel expenses is based on the effective payments of salary increases in line with the salary increase as we leave the unions on April 2014 and that is what implication. The accumulated efficiency ratio reached 44.6%, largely improving from the 50.9% level posted for the third quarter 2013. In terms of loan growth, the Bank’s financing to the private sector increased 5% quarter-on-quarter and increased 13% year-on-year among, which commercial loans for productive investments have been included. Persona loans and credit cards also grew year-on-year. On the funding side, total deposits grew 4% quarter-on-quarter and 27% year-over-year. Private sector deposits grew 2% on a quarterly basis and public sector deposits also grew 11%. Also on a quarterly basis, within private sector deposits, a decrease in foreign currency deposits was experienced while safer deposits increased 2%. As of June 2014, Banco Macro’s transactional accounts represented approximately 46% of the total deposits and therefore the Bank’s average annualized cost of funds was 11%. In terms of asset quality, Banco Macro’s non-performing-to-total financing ratio reached 1.85% from last year’s levels of 1.76%. The coverage ratio reached 138.69%. In terms of capitalization, Banco Macro accounted an excess of capital of5.7 billion pesos, which represents a capitalization ratio of 24.7%. The Bank’s aim is to make the best use of this excess capital. The Bank’s liquidity remains healthy. Liquid assets-to-total deposits ratio reached 43%. Banco Macro accounted for another positive quarter. We continued showing a solid financial position. Asset quality is under control and closely monitored. We continue working to improve more our efficiency standards. We have one of the cleanest balance sheets in Argentine banking sector and we keep a well optimized deposit base with one of the lowest cost of funds in Argentina’s banking sector. At this time, we would like to take the questions you may have. 
Operator: [Operator Instructions] Our first question comes from Peter Boone from Chenos. Please go ahead with your question.
Peter Boone - Chenos : Yes, hi, thanks very much for taking my question and for the call. I was just wondering, given your strong capital position, whether you see at the moment opportunities in terms of strategic acquisitions that you could use the capital all within Argentina. And then secondly, could you just outline what your current dividend policy is and also policy with respect to share buybacks? Thank you.
Jorge Scarinci: Hi, Peter. This is Jorge Scarinci. To your first question, I think that our – is a track record of acquisitions and of course, if there is an possibility or uncertainty we are going to keep an eye on that to study that and of course, if the price is suitable for the Bank and the assets also we might be going for that. For the moment, we are not seeing any acquisition targets here in the Argentine markets for the moment. Just, the second part of your question – your second question according to our dividend policy and share buyback, we used to bought back a big chunk of our capital, maybe worth 14% of our capital between 2008 and 2009. And now, basically, we are not implementing another share buyback program basically because of the liquidity of the stock. Even though we are analyzing different scenarios, but I would say that that is the main cause why we are not implementing that share buyback program.
Peter Boone - Chenos : Okay, and then dividend policy?
Jorge Scarinci: Yes, of course, you know that the restrictions we are the high restrictions or requirements established by the Central Bank here and the dividend, the dividends that we will paying in 2015 are going to be said in the Shareholders Meeting, I think it will be between March and April next year.
Peter Boone - Chenos : I see. Is there anything you can say with respect to a target in terms of percent of income as long as you are about that threshold or some other guidance as to what the level would be?
Jorge Scarinci: Honestly, for this time of the year, it is not easy to answer that question. But when you look backwards, we will try to pay as much dividend as we can, considering the high requirement of the Central Bank, but for the moment, I cannot give you an exact number of that.
Peter Boone - Chenos : Yes, okay. Thank you very much.
Jorge Scarinci: You are welcome.
Operator: [Operator Instructions] Our next question comes from Yuri Fernandes from JPMorgan. Please go ahead with your question.
Yuri Fernandes - JPMorgan : Hello, good afternoon. A quick question on your securities used. It has been very high in the past two quarters, it amounted 760 million in this quarter from 500 million in the second quarter and 108 million in the third quarter 2013. So, I would just like to ask you about this, if this should be recurring and where is this - is coming from? Thank you.
Jorge Scarinci: Hi, how are you? Sorry, I couldn’t get the first part of your question. Which is item that you are talking about?
Yuri Fernandes - JPMorgan : No basically, the government and private securities income, they have been very high in the past quarter.
Jorge Scarinci: Yes, that’s the consequences of a kind of assets and liability measuring policy. The stock or the portfolio of Central Bank debt has been increasing in the last two quarters and basically that’s the main reason for the increase in the income from those types of instruments.
Yuri Fernandes - JPMorgan : Okay. Thank you.
Jorge Scarinci: Welcome.
Operator: And our next question comes from Alonso Aramburu from BTG Pactual. Please go ahead with your question.
Alonso Aramburu - BTG Pactual : Hi, good morning. Thank you for the call. I just wanted to ask a question on asset quality. You saw an improvement of the NPL ratio this quarter. But the press release mentions that some clients were sent off balance sheet and that's the reason for the improvement. Can you just give us some color as to which clients are these and why is the Bank doing this?
Jorge Scarinci: Hi, Alonso. Well, we have stated before that the Bank has become a bit much more conservative than Central Bank requirements in terms of NPLs and basically what’s happened in the month of July, we sent to off balance sheet items some commercial loans that basically was the main reason why the increase in the off balance sheet loss in the third quarter an amount of approximately 44 million pesos that were extraordinary in the month of July related to the average of between 30 million and 40 million a month that we sent to off balance sheet account mainly which are consumer loans. So I would say that, the bid was in July around 44 million pesos of commercial loans that were sent as an extraordinary to off balance sheet.
Alonso Aramburu - BTG Pactual : And when you look at overall trends because NPLs were increasing at the beginning of the year and now they've improved, I mean how are you seeing trends evolving in the fourth quarter and what are your expectations for the next few months?
Jorge Scarinci: Basically, what we are seeing is that, these are kind of a roller-coaster but, in our case, it is ranging in the ratio between 180 and 2% of 170 and 2%. Going forward, next quarter we are seeing similar conditions, but maybe in the first half of 2015, we could see that ratio maybe slightly going about 2% as a consequence of the recession and the slowdown in the economy that we are seeing in Argentina. But basically we are not seeing a dramatic change in the ratio in the near future.
Alonso Aramburu - BTG Pactual : Okay, that's great news. And I have one more question regarding your net interest margin, which has been increasing and increased a lot also this quarter. There is a new regulation on deposits, on rates that you need to pay on deposits. How do you see the mean moving based on this new regulation?
Jorge Scarinci: Now [Indiscernible] of course, we could see some trimming down of the net interest margin between 1 percentage points and 1.5 percentage points. So that is how we are seeing these being affected not only in Macro but also all the financial industry here in Argentina. So around that, that is our forecast on the margin.
Alonso Aramburu - BTG Pactual : Okay, great. Thank you very much.
Jorge Scarinci: Welcome.
Operator: [Operator Instructions] Ladies and gentlemen at this time, I am showing no additional questions. I would like to turn the conference call back over to management for any closing remarks.
Ines Lanusse: Okay, thank you much for your time. And have a good day. Bye.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending today’s presentation. You may now disconnect your telephone lines.